Operator: Good morning. My name is Shelly, and I will be your conference operator today. At this time, I'd like to welcome everyone to the Dundee Corporation Q2 2019 Conference and Webcast. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you, Mr. John Vincic, you may begin your conference.
John Vincic: Thank you, operator. Good morning, everyone, and welcome to Dundee Corporation's 2019 second quarter results conference call and webcast. The Company's financial results were issued last night and are available on our website at dundeecorporation.com. Before we get started, please be advised that the information discussed today is current as of June 30, 2019, unless otherwise indicated, and that comments made on today's call may contain forward-looking information. This information, by its nature, is subject to risks and uncertainties and as such, actual results may differ materially from the views and expectations expressed today. For further information on these forward-looking statements, please consult the Company's relevant filings on SEDAR. Also, please be reminded that all currency amounts discussed on today's call are in Canadian dollars unless otherwise stated. Our presenters today are Jonathan Goodman, Dundee's Chairman and Chief Executive Officer; and Robert Sellars, Executive Vice President and Chief Financial Officer. And now I'd like to turn the call over to Jonathan Goodman. Jonathan?
Jonathan Goodman: Thank you, John, and thanks to everyone for joining the call this morning. It has been over 18 months since I returned to Dundee. In that time period much has changed and we have made progress on a number of fronts.  On previous quarterly calls we have dedicated significant time to discuss our legacy assets. Today, I'd like to shift the focus to something that perhaps has been overlooked and that is a success that we've enjoyed as we implement our strategic pivot to refocus Dundee on its roots in the resources sector. To begin with our merchant banking team, which is based in Vancouver, Toronto and overseas, and operating under the banner of the Dundee Goodman Merchant Partners is firmly established in the marketplace. They've been actively engaged on a number of mandates in the junior mining sector. More importantly, this team has worked tirelessly and have established themselves in the ecosystem of the junior mining world as a credible player. Let me take a moment to talk about some of our success stories in our resources portfolio. Last quarter we touched upon our support for the business combination between eCobalt and Jervois mine. We are happy to report this merger closed in late July formerly creating a much larger more liquid cobalt vehicle with greater access to capital markets. And just last week Jervois announced that it has commenced the 2000-meter drill program at the Idaho Cobalt operations targeting the main lines of ram deposits for metallurgical samples and testing of the footwall at depth. Planning for further infill drilling is also underway to focus on improving the existing resource model with drilling expected to be completed this year. Results from the drilling program will feed into the feasibility study for the Idaho Cobalt Operations, which is Jervois plans to publish early next year. We're excited by the progress Jervois is making and look forward to update next quarter. Subsequent to quarter-end we reported the sales, some of our shares in Reunion Gold. Our decision to sell shares in reunion is consistent with our strategy of prudent capital allocation across our resources portfolio. Simply put, our investment in reunion has been profitable and we felt it was wise to crystallize a small portion of our game. In doing so, we were able to reallocate that capital to other parts of our business and portfolio where we see promise and potential. We remain very bullish on the prospects for Reunion Gold and this is reinforced by the fact that we continue to be their second largest shareholder. Now, let me take a minute to look – moment to look at our largest portfolio holding that in Dundee Precious Metals. During the second quarter of 2019 DPM produced gold on an all-in sustaining cost basis of U.S.$707 per ounce. Gold containing concentrate produced increased by 9% compared to the same period last year to 52,425 ounces, including 5,351 ounces from Ada Tepe, which is a new mine that is just starting to ramp up and will be in full design capacity during the third quarter of 2019. Copper production increased by 6% to 9.1 million pounds relative to the corresponding period of 2018. The Tsumeb smelter achieved total complex concentrate smelted of 61,667 tonnes during the second quarter of 2019, which was 33% higher than the corresponding period in 2018 and remains on track to meet its 2019 production guidance. Overall, we are very pleased with results from DPM. The companies continues to be in what we still think is the early stages of a re-rating as it ramps up production at Ada Tepe. We're also excited by the exploration prospects per DP, not just in Bulgaria but also for its Timok gold project in Serbia. In today's rising gold price environment, this strong performance is being reflected in DPM’s share price, which closed yesterday at $4.98 a share. As our flagship holding it goes without saying we're extremely pleased with this investment. Now let me move on to discuss the Company's capital structure. As many of you know, on May 15, we completed a successful conversion of our Series 5 Preferred Shares into Class A subordinate voting shares of the Corporation. This was an important step which permanently lowers our ongoing interest payments in G&A costs. Along these lines, we are considering other ways to streamline our capital structure. Previously, we considered a normal course issuer bid and substantial issuer bid for our Class A's subordinate voting shares. After careful analysis we've come to – between management and the board of directors, we have determined that this is not the best use of our capital at this time. To that end, we're in the process of implementing a normal course issuer bit for a Series 2 and Series 3 Preferred shares. We believe this would be a more effective use of capital that will result in lower interest payments and G&A costs and relative to potential use of capital we see this as delivering the best possible return for our shareholders at this time. Work is underway and we hope to update the market on our intentions and ability to carry out the NCIB, beginning later this quarter. On June, Bob Sellars and I went to London to meet with members of the Senior Executive Team from Delonex Energy, our partner that advancing the United Hydrocarbon assets in Chad. In addition to meeting with the CEO and other executives, we had an in depth meeting with members of their technical team. This included a fulsome update on Delonex exploration, drilling to-date and its work interpreting 2D and 3D seismic surveys. As noted in our news release Delonex completed the first phase in Block H as planned with the completion of six exploration wells. The exploration drilling established the presence of hydrocarbons in multiple wells and zones. Based on the success of the initial exploration program, Delonex has commenced the next phase of exploration, starting with the acquisition of additional seismic surveys comprising of 1,530 square kilometers of 3D seismic and 800 line kilometers of 2D seismic. The acquisition of the 3D data is underway, with the acquisition of the 2D data following completion of the 3D. The next phase of drilling will be based on the new seismic data and is currently in the planning stages, scheduled to begin in early 2020. A comprehensive assessment of the resource potential at Block H is expected to follow the completion of Phase 2. Based on this update and the meeting with the Delonex team, we are very encouraged by the prospects for UH assets in Chad. The quality of the work being done and the high caliber technical team is this added confidence in Delonex and its ability to advance these assets in a timely manner. And now I'd like to turn the call over to Bob Sellars to a review of our financial performance during the quarter. Bob?
Bob Sellars: Thanks Jonathan. I will first talk about the second quarter results. For the second quarter, we are reporting a pretax loss of $4.4 million compared to a $74 million loss in Q2 2018. The net loss for the quarter after discontinued operations in taxes was $8.5 million compared to a loss of $79.1 million in 2018. During the quarter, there was a $5.4 million net gain on investments, of which $16 million was the portfolio gain from Dundee Precious Metals with other losses offsetting this gain. Investment losses for the prior year were $12.4 million. We also had a $3 million gain in UHIC to revalue the royalty and the consideration to our net total of $158.6 million after adjustment to the contingent consideration. There was also a $3.7 million gain on the conversion of the Series 5 preferred shares into common shares in the quarter. At Blue Goose, we incurred a loss of $3.8 million in the quarter, which was an improvement over the loss from the second quarter of 2018, which was $8.1 million. The fair value of livestock decreased by $584,000 in the quarter compared to a decrease of $3.5 million in the prior year. Goodman Investment Counsel or GCIC loss in the quarter was $288,000 compared to $1.9 million loss in the prior year, reflecting the benefit of the downsizing and expense reduction that we implemented. Equity accounted losses were $2.8 million compared to $38.6 million loss in the same period in the prior year, which was primarily related to Parq Vancouver in 2018. Consolidated G&A for the quarter was $9.5 million, compared to $18.5 million in Q2 2018, reflecting continued reductions of headcount and operating costs across most entities. We treated Sotheby’s as discontinued operations as the business was sold and the transaction closed in late May generating proceeds of $5 million. As previously disclosed, we successfully refinanced the capital structure of Parq Vancouver on May 9 with a first – a new first and second lien loan as well as the new equity investor. These steps are expected to help generate significant improvements in Parq Vancouver’s cash flow. Let me now provide a year-to-date summary of our results. Year-to-date, we are reporting a pretax gain of $19.1 million compared to $102 million loss in the prior year. Year-to-date, net gain after discontinued operations in taxes was $7.7 million compared to a $99.7 million loss in 2018. The net gain on investments was $33.5 million, of which $46.2 million was DPM related with other losses offsetting this gain. Year-to-date gain on the UHIC royalty was $9 million compared to a $6.7 million gain in the corresponding 2018 period. The year-to-date gain on the conversion of the Series 5 preferred shares into Class A subordinate voting shares was $9.1 million. At Blue Goose, Blue Goose incurred a year-to-date loss of $7.9 million compared to $14.5 million in 2018 period. Again, reflecting continued downsizing and expense reductions. Year-to-date fair value increase in livestock was $1 million compared to $2 million loss in 2018. At GCIC, the year-to-date loss was $751,000, which compares to a loss of $3.8 million in the prior year due to the wind down of the private client division in 2018. Year-to-date equity accounted losses were $3.3 million compared to $48.8 million in the prior year, which was primarily related to Parq Vancouver in 2018. Again, consolidated G&A was down, we are at $18.3 million year-to-date, which was down significantly compared to $32.1 million in the same period of 2018. Let me now move to a review of the investment portfolio, which was valued at $310 million at the end of June, 2019 compared to $270 million at year-end. Proceeds of disposition were $7.9 million in the quarter and $15.2 million year-to-date with the Canadian Securities Exchange contributing $9.7 million. Dundee’s marketable security portfolio was $217 million at quarter-end with DPM accounting for $176 million of that total. Now let me make a comment on liquidity, which we continue to monitor closely. At the end of the second quarter, we had approximately $36 million of corporate cash on hand. We continue to work at increasing overall liquidity by reducing costs and disposing of non-core assets. Year-to-date, we have funded subsidiaries for a total of $11.3 million. Our annual dividends for 2019 should be $9 million with the additional dividend tax of $3.6 million. Our year-to-date head office expense for 2019 was $10 million including $1.9 million in consulting fees and related to the Series 5 preferred shares conversions and legal work related to Parq. We also incurred some significant severance accruals. Q2 head office expense was $4.9 million compared to the prior year of $10.8 million and this compares to Q4 2018 head office G&A of $6 million. We expect to see a continued reduction in our normalized G&A run rate with a target of $14 million to $15 million in 2019 subject to ongoing these downsizing costs. As we have previously disclosed, our tax discussions with Canadian Revenue Agency are ongoing. And we have disclosed in the contingency note an amount of $11 million in tax and $2 million in interest that we expect to get reassessed in the near future. However, the eventual tax amount could be higher and may adversely affect our cash flow. This concludes our financial review for the quarter and I will now turn the call back to Jonathan. Jonathan?
Jonathan Goodman: Thank you, Bob for your comprehensive update. Let me take a moment to provide a brief update on some of the other assets in our portfolio. Beginning with Blue Goose, we are continuing a process to explore a sale of this business. We are engaged in advanced discussions with the group and hope to have an update on this matter later in the third quarter or early in the fourth quarter. At Parq Vancouver, we are encouraged by the improved operational performance since announcing our partnership with an established industry player. We're in the midst of the peak tourist season in Vancouver and seeing stronger occupancy rates and performance at Parq relative to previous years. We continue to explore opportunities with potential buyers to sell all or a portion of our investment in TauRx at an acceptable price. TauRx is a pharmaceutical company involved in the research and development of a drug to treat Alzheimer's and is currently involved in a Phase 3 clinical trial for one of its drugs. And finally, we're also engaged in discussions with Eight Capital about the possibility of them finding a buyer for repaying the $13.7 million subordinated loan, which Dundee currently holds. Now let me briefly touch upon our ongoing cost cutting efforts. We are squarely focused on lowering our G&A. And we'll leave no stone unturned in our efforts to reduce expenses. We have continued to reduce costs and headcount in both corporate and subsidiary levels. Letting good and dedicated people go is never easy, but it's critical that we remain disciplined as we align our headcount and the realities of our business model. More importantly, we are seeing a step change reduction in G&A that will help underpin the future successes of our business. And finally, I want to talk about some of the things that we're doing at Dundee to further align our interests with those of our shareholders. In the second quarter, we restarted our employee share purchase plan. As part of this plan, employees can put up to 10% of their pretax salary towards the purchase of Class A subordinate voting shares. The company in turn provides a matching program, incentivizing employees to participate in this plan. I am happy to report that both Bob Sellars and I and along with a number of head office employees are taking full participation in this program. The restart of this plan and our participation is a strong sign of confidence in our business and our efforts to implement a strategic shift. Our goal is to have all employees take part in this plan and we are encouraging them to get involved. In addition to the employee share purchase plan, we are also in the process of reinstating a stock option plan for senior employees. On that note, I would like to thank all of our employees and shareholders for their continued support. And now we'd be happy to answer your question. Operator?
Operator: [Operator Instructions] Your first question comes from line of Brett Reiss from Janney. Your line is now open.
Brett Reiss: Hi Jonathan. Hi Bob. How you doing?
Jonathan Goodman: Hi Brett.
Bob Sellars: Hi Brett, good.
Brett Reiss: If you're able to achieve your objectives on the preference 2 and 3 shares, could you just walk us through the arithmetic, I mean, the dividends are costing you $9 million plus $3.6 million in dividend tax. What do you hope on a base case to be able to reduce that down to?
Bob Sellars: Well, the dividends of $9 million included, first quarter of – we paid some on the Series 5, but so the ongoing 2 and 3 dividends should be about $7.3 million or $7.4 million. And then there's $0.40 tax on that, a smaller number than the $9 million. The issuer – normal course issuer bid is either 5% of the outstanding or 10% of the public float on an annual basis. And so there's 3.7 million shares outstanding, I think of the Series 2; 1.7 of the Series 3. I don't have the exact number in front of me, but we're going to be – hope to be steadily in the market over the next 12 months to be buying some.
Brett Reiss: Right. Right. And going that route instead of doing it for the subordinated A shares, can you walk me through why you are opting for that versus the other?
Jonathan Goodman: How about I take it? The truth of it is, when you buy – the prefs are trading at a big discount. So when you buy them back, you actually reduce – they're trading at 13. If you bought some at 13, there's $12 of what's the equivalent of debt reduction for every share you buy back and the benefit of that is all shareholders. And as Bob said, over time bringing those numbers lower reduces your interest cost, reduces the tax payable. It has numerous benefits that are benefits for all shareholders. And we feel that notwithstanding the fact that we've started the process of cleaning up our balance sheet, we feel we're not done yet and to buy back the shares before you feel like you've finished the balance sheet clean up seems – feels a bit premature.
Brett Reiss: Okay.
Bob Sellars: There's actually 3.5 million shares outstanding on the Series 2, not 3.7 million.
Brett Reiss: Okay. Other than Dundee Precious Metals and the remaining Reunion Gold shares, what other gold investments do we still have at Dundee?
Jonathan Goodman: Unfortunately, I don't have my portfolio in front of me. We have a very nice position in a company called Maritime Resources, we own 19.9% of that company, which is a gold project in Newfoundland. And as I struggled to pull my portfolio up on my phone and – boy, technology is great. So let's see. We own some shares in Cabral, which is precious metals, it really is, Dundee and Maritime – Dundee Precious and Maritime has the lion's share of it.
Brett Reiss: Right.
Jonathan Goodman: And Reunion, of course. And I don't want to, I mean – I want to, I mean, I met with Reunion’s management yesterday. We're very excited about what's going on in Reunion, our view was just – we wanted to take a little bit off the table, but we are very excited with what they're doing in French Guiana right now.
Brett Reiss: Great. Great. Are you disappointed that something hasn't been done on Blue Goose and can you give any more color on that?
Jonathan Goodman: Disappointed and frustrated is probably – it's moving forward. But the process is slow, we've had discussions with many different groups and number of them have – for one reason or another wanted to bid and didn't. We've got a couple of groups that we're still talking to. One more serious than the other and obviously, as I said, it's a slow process. But we hope to get something done certainly by the end of this year.
Brett Reiss: Do you think that as the balance sheet new things get better at Dundee that your relative negotiation position with potential buyers will strengthen over time?
Jonathan Goodman: I think it already has. I mean, I think people that come in and think that they're going to bit $0.10 on $1 for something. I think that there was a lot of concern because of Series 5 actually had a due date on it. That put a lot of pressure. I mean, the reality of it is, we own close to $200 million in Dundee Precious Metals shares. So I mean, it'd be hard to argue that we're – without any wherewithal, we certainly are not that we have a decent cash position. And I think we're in a much better financial state than we were a year ago or even two years ago.
Brett Reiss: Right. Right. Now other than something finally happening with Blue Goose, what kind of corporate dispositions can we look for the second half of the year?
Jonathan Goodman: Predicting when things happen is very, very, very hard. On the private asset side, things don't necessarily happen with the same tension as the public market side. So but I think the reality of it is, is that it's very clear that we're retransitioning the company back towards the resources sector and you're going to see more of that.
Brett Reiss: Okay. I'm going to jump back in queue. Thank you for taking my questions.
Jonathan Goodman: My pleasure.
Bob Sellars: Thanks Brett.
Brett Reiss: Okay.
Operator: Your next question comes from the line of Jim Roumell from Roumell Asset. Your line is now open.
Jim Roumell: Thank you. Thanks for the update guys. Nice to see so many things coming our way finally. A couple specific questions, I just want to make sure I understand the United announcement. So Delonex is committing $65 million directly into the assets that United holds its royalty on.
Jonathan Goodman: I believe Delonex has already spent that. And they’re spending more.
Jim Roumell: Okay.
Jonathan Goodman: I believe – so I don't have the – they did not give us the exact numbers of how much they’ve spent, but we believe they're going to be well in excess of what they’ve committed to spend.
Jim Roumell: Got it. Okay. And on that point, we understand that there a number of private equity firms that actively buy royalties like the one United owns on Block H. Have you considered or have you thought about possibly monetizing the royalty, given that there is now so much more clarity on the resource value there?
Jonathan Goodman: The answer is yes, we have considered it. It's probably still too early. I mean, the reality of it is they've gone in there, they've shot a lot of 3D seismic, they've drilled a bunch of holes, they've had some very nice success, they're going back to doing a bunch of more 3D and they're going to come back and drill a bunch more holes. And I think there’s still – until you actually have real clarity on what it's going to cost to develop, what type of production rates they're going to talk about, it's going to be very hard to sell it except to someone who will see some success, put together a bit of a worst case scenario and think with us. But we think these assets have tremendous potential. And anything that we would try and monetize today would be way lower than it should be. And we're very comfortable with the Delonex team and they're going to go out there and do what needs to be done.
Jim Roumell: Do you think that given Delonex knows the intrinsic value of these assets more than anyone else, that they are a potential bidder on United's royalty?
Jonathan Goodman: They would be, but I think even they would concur it’s too early. It's not that there isn't significant value there and it's not that they're finding oil and gas, they're finding oil, that's quite – that's really exciting. And now they're going to take another step back, do a lot more work and they're doing a very professional first rate technical job of defining of getting this to an economic decision. Once that's there, it's going to be a different story and then there'll be a lot more options. And yes, of course, they would be a potential buyer.
Jim Roumell: Okay. Moving on to Android, I'm just curious, Android was marked down slightly from the previous quarter. And I'm aware that it appears that their business is actually growing nicely and they've expanded the relationship with General Motors. Is the reason for the markdown because of a model you're using that forces the markdown, but in fact, the business itself has possibly grown in value? In other words, could there be a mismatch there between what's going on organically at Android and how your marketing because of the methodology you're valuing it? Because I'm aware that their business is growing nicely and they've, in particular, expanded their relationship with General Motors.
Bob Sellars: Yes, it's not – Android had some potential onetime expenses that are going to occur in the – potentially in the third quarter, some into the fourth. And I sort of anticipated them coming. So I did a markdown on our carrying value. It had nothing to do with our – any view that we felt that the business had any weaknesses in it. We think that we’re still very bullish on Android. And if you did a model on ongoing growth and assumptions, the carrying value would be likely higher. But I was being conservative in my carrying value and I did an adjustment for some pending expenses.
Jim Roumell: Got it. Okay. And then just two other quick questions. On TauRx, we’re hearing rumors that they're actually engaged in a capital raise right now and that capital raise is at a pre-money valuation north of the – your carrying value. Are you hearing that as well? And is there a possibility that you could participate in that capital raise, in terms of selling your shares to the investor who's looking to put in capital?
Jonathan Goodman: We're not involved in the capital raise per se. And I think – I'm – I think that the transaction that we think they're working on is just probably more complicated than just the straight share raise. I believe there's going to be some potential marketing raise as well. I don't know any of the details, but I don't think it's just a straight raise and hopefully it'll happen so.
Jim Roumell: Or does it, Jonathan, give you – is it a window for you to potentially monetize our interest?
Jonathan Goodman: The answer to that is – the answer is strong maybe.
Jim Roumell: Got it. Okay. And then my last question is just on AgriMarine. It's – I know you've made some investments there in the past year to try to really make that more profitable. And I'm just curious of how those investments have turned out and whether in fact AgriMarine is getting close to being EBITDA break even.
Jonathan Goodman: Well, I think, yes, it is getting close to being EBITDA break even because I think certainly on an operational level, we've seen it. So our goal is that it should be EBITDA positive by the first quarter of next year. That's – we've made a bunch of improvements there. We've put in some better technology to automate a whole bunch of the things that are traditionally automated on fish farms and the expectation is that first quarter next year, and they seem to be a little ahead of that. So we're optimistic that they're going to achieve that.
Jim Roumell: Okay. And my final question is regarding reinitiating the employee stock buyback program or a stock purchase plan, you mentioned that you and Bob are participating. So can you just give some clarity, what are employees being entitled to do to take a certain percentage of their salary and receive it in stock? And when you say you and Bob are participating, on what basis?
Jonathan Goodman: Everyone has entitled to go up from zero up to 10% of their salary will be…
Bob Sellars: Base salary, not bonus.
Jonathan Goodman: Base salary, no bonus, yes, can be used to buy shares in the marketplace and the company will match that.
Jim Roumell: Okay. And you’re – that's something you're actively encouraging employees to participate in?
Jonathan Goodman: To the extent that they can afford to because the matching is a taxable event as well. It's a big hit in your cash take home pay. So there's some people that clearly can't afford it, but to the extent that they can afford, we encourage people to participate to the extent they can.
Jim Roumell: Got it. And how many employees are you down to now? And what do you expect to be at year-end?
Bob Sellars: By year-end we expect to be below 30, but we're at about 33 now at head office. And then we've had reductions, significant reductions in Blue Goose, we've had reductions in AgriMarine by wound down with Dundee 360 group out of Montreal and had reductions there. We took out our some of the management of Sotheby’s and the reductions there. In some of those things we've brought that extra operational and accounting burden into Toronto and added it onto what we're doing here. But we continue to look at how we're going to reduce costs at all entities, including our own.
Jim Roumell: Okay. That's it for me. I just want to congratulate you on a hard year with a lot of work and a lot of cleanup, and it's rewarding to see a lot of it come to fruition.
Bob Sellars: Thanks, Jim.
Jonathan Goodman: Thanks.
Operator: Your next question comes from the line of Jim Belin from Aldebaran Asset Management. Your line is now open.
Jim Belin: Thank you. I have a question about the preferred shares. They don't really trade that many shares every day. So if you're – would you consider, I think in September of 2019 you have an opportunity to actually call back or buy back the entire class of shares. If you find over the next two or three weeks that you're not able to buy many shares of those in the open market, would you consider something like that in September?
Bob Sellars: I think it's September. There's the right for these shares to interconvert. I'm not certain that that's complete buyback, but even if we would have to have a significant amount of proceeds even if we could do a significant buyback. If we have success on our continued liquidation of portfolio, we would change, we would look at other alternatives onto buying a bigger allotments.
Jim Belin: Well if you're not able to buy that many shares of the preferred and the open market, then would you consider shifting over to buying back the common?
Bob Sellars: Yes, as Jonathan mentioned, we do, I know these things are thinly traded but we will be working on it a daily basis. And then with 10% of the outstanding, over the year I think we have time to buy them. I'm not certain we’d switch to the common because we get so much bigger bang for our buck doing these preferred.
Jonathan Goodman: But keep in mind they are thinly traded, but their trading is like 55% of par. So, I mean there is a price out there which still will become more liquidity.
Jim Belin: Okay. Thank you very much.
Operator: Your next question comes from the line of Andrew Hood from M Partners. Your line is now open.
Andrew Hood: Good morning guys. The first thing I'm wondering about, I think last quarter you were sitting at 31 positions. Do you know how many positions you have now?
Jonathan Goodman: I don't off the top of my head.
Andrew Hood: But it's around 30, let's say 29, 30.
Jonathan Goodman: It is not materially different, but we're focusing on making sure that we want the positions to be just positions, not investments that are relying on us to make their payroll next quarter.
Bob Sellars: Like in the quarter we got off the last of the Canadian Securities Exchange and, that was our biggest remaining transaction in the quarter. And yes, as Jonathan mentioned, we did sell some Reunion Gold, but since we didn't sell it all, it's still a position, a significant position.
Andrew Hood: Right. And sell the [indiscernible] as well. Okay.
Jonathan Goodman: Yes.
Andrew Hood: I know you guys are unsure of the timing of some of these divestitures like Blue Goose, but if you were to sell everything that you're looking at selling at the moment, what kind of dollar value would that be do you think? Or what range?
Jonathan Goodman: Oh yes, there it is. It interesting because selling everything and then we're looking at selling versus a lot of things that we want to sell. It's something like, longer term need some restructuring before you can sell them. So, it's really hard to set, to put a dollar value on that. I mean, our view is some of these things need to be fixed before they can be sold.
Andrew Hood: Let's say something that, anything that you can foresee selling within the next say six to nine months without significant restructuring, do you know what kind of dollar value that would be?
Jonathan Goodman: I don't, because the price discovery doesn't always happen early on. What type of dollar value I'd hope it would be versus what type of dollar value the buyer is going to try and buy that. So, since you say anywhere between say $50 million and $150 million over the next, I would say a year, year and a half.
Andrew Hood: Okay. And if you were to sell Blue Goose and all the debt associated with that is naturally wiped out as well, right? So the 52 million?
Jonathan Goodman: The Blue Goose debt has no recourse to Dundee Corp.
Bob Sellars: But you're right, that would be wiped out or refinanced by the purchaser.
Andrew Hood: Yes. Okay. So, I just like to talk about Dundee Precious Metals, briefly obviously it's your biggest position. It has done really well since last quarter, but there was some issues at first, with startup at Ada Tepe, so I'm just wondering if your expectations have changed at all. Last quarter you were saying you expected over $200 million in EBITDA this year. Have those expectations changed?
Bob Sellars: I think some of them have been slightly differed, but not changed. I mean, the reality of it is, the startup problems that happened at Ada Tepe have to do with very technical issue of too much, not too much, but more clays and fines in the tailings than it had been previously anticipated. What happens is, is it means that for the tailings to settle, they need to settle in deep water and the more fines and clays that are in there, the longer that takes. And when you start the tailings disposal, you think of yourself as starting at the bottom of a valley and for ease think of it as a V-shaped valley. When you just deposit the initial tailings, you only have one spot to put them in. But as you move up the valley and that V-opens up, you have many spots to put them in. And so the fact that it takes longer for them to settle, one very often clays, which are an oxidized material, tend to be more at the surface and tend to decrease as you go deeper. So parts of this problem could go away, but is there a, even if it doesn't go away, it doesn't matter because as they move up, which is like right about now, they actually have a lot more optionality where they have two or three different spots to put tailings. So the actual increased settlement times won't affect the production. So they really only affect the production at the very beginning of the mine life. So that's why I say, it's really a deferral. It's not a long-term issue in any scenario. So, yes, I mean, we're at the first half will produce, but starting at some sometime really the end of August or early September the mine should go to full production.
Andrew Hood: Okay, good. Now I've wont focus on this too much but I do have a couple of questions about Parq Vancouver. I saw there was a nice decreases in the expenses year-over-year, but 4 million decrease. So is that mostly just less expenses due to ramp up and additional marketing or can we see those kinds of decreases moving forward as well?
Jonathan Goodman: Well, I think we can see significant decreases in their run rate with a new partner in there who has hotel experience and expertise as well as they're looking at food and beverage and taking operating cost out of the casinos. And they have some pretty ambitious targets on reducing costs that will come into play in late-2019 and 2020. Now they also hope to improve on the number of people coming through into the property.
Bob Sellars: Right. I think you can safely say that they're spending a lot of time trying to do a lot of work on how they can offer a first-class experience at the hotel and the gaming site without compromising the experience, but offered at a lower cost environment. And that's, and that's where the work is being ...
Andrew Hood: Okay. And did you, in this quarter, did you benefit from the refinancing or had you already paid that interest in this quarter? And we'll see next quarter an improvement?
Jonathan Goodman: Well see for June 30, you mean there the refinancing took a significant amount of their interest expense out going forward. We had very small contribution to Parq so far post the refinancing and we'll wait and see what the September 30, numbers look like. We're not anticipating a big request.
Andrew Hood: Because interest expense was about the same as it was, in the same quarter last year. So that's just
Bob Sellars: Yes.
Jonathan Goodman: But the new lease in coming into May.
Andrew Hood: Okay. Yes. So you had already paid the interest is essentially what I'm wondering for the quarter.
Bob Sellars: Well, it had been dealt with to the refinance, spent a small amount and we were still involved in it.
Jonathan Goodman: Correct.
Andrew Hood: Okay. A quick question, for your, eCobalt position, which I guess is Jervois now, what's the Canadian dollar value of your position as of today let's say?
Bob Sellars: I'm just looking it up. Yes. It's about a little over 5 million at the end of June. I don't know what today's market price is.
Andrew Hood: That worth the conversion to Jervois shares.
Jonathan Goodman: Yes, I mean it wasn't a premium conversion.
Bob Sellars: It was a small.
Andrew Hood: Okay. Just a couple more quick questions. So, it looks like you're showing a preference for NCIB on the Series 2 and 2 rather than an SIB. I'm just wondering if – to do an SIB, do you have to finish those CRA discussions as you’ve said in the past for a potential Sib on the Class A?
Jonathan Goodman: I think that CRA discussions are part of it. I think as we see where we're going to get to on some of the things we're trying to divest are part of it. And, looking at a few other, alternatives and until we know what pool of capital we have to deal with, they wouldn't be in a position to do a substantial issuer bid. So those on the call, SIB is substantial issuer bit, whereas an NCIB a normal course issuer bid.
Andrew Hood: Yes. Okay. My last question for now on the G&A run rate, where do you think you can be by the end of the year?
Bob Sellars: Well, like I said, I thought, $13 million , $14 million for 2019, including like, I got to still do some further. We're still looking at downsizing headcount, which obviously, always costs the severance amounts. We continue to ratchet it down, so that's probably the number I said in my discussion.
Andrew Hood: Okay, good. I think it was $14 million, $15 million was your estimate last quarter. So it looks like 
Bob Sellars: Yes we expect to get, keep getting lower. There’s a lag – when you take action on June 30, you don’t start seeing the benefit for a little while.
Jonathan Goodman: Yes. The short term is you pay severances and your G&A goes up. The longer term is, it comes back down once that's done.
Andrew Hood: Yes, absolutely. All right. Thanks guys.
Jonathan Goodman: Thank you.
Operator: [Operator Instructions] And your next question comes from the line of Louise Hernandez a Private Investor. Please go ahead.
Unidentified Analyst: Yes. Hello. Good morning. Thanks for taking the question.
Jonathan Goodman: Thank you.
Bob Sellars: Thanks.
Unidentified Analyst: All right. Basically my, question is regarding the merchant partners, that you mentioned at the beginning of the remarks and I just wanted an update on, walk us a little bit through, the capital requirements of it, when do you expect it to be breaking even or producing any cash flow? What's the upside? Could you give us some more of the financial sort of update on that?
Jonathan Goodman: Okay. Well, I mean the, merchant partners is our merchant banking operations where we have a very strong team of people, focused on the mining industry and what we've built there, is we’ve built the ability to do a very deep dive, technical, due diligence. And so right now in the short-term we're doing some advisory work. We are doing, some M&A advisory work, some, some asset sales, some strategic advisory work. But where we're taking that is through the investment fold and that is we can do a very, very deep dive due diligence. Due diligence is one of those things that the word that is bandied about, I've never wanted anyone that claims not to do due diligence but obviously there's very different levels of due diligence. And our experience in the junior mining sector is if you listen to anybody tell their story in the junior mining sector, you would run out and call your stock broker every time and buy the stock if he believed the story was true. And the reason the junior mining sector has done so poorly is very few of the stories are actually true. And we have a fundamental belief that the real outlying problem with the junior mining sector is that the quality of the information that you get is horrible. And so our investment model involves more often than not signing a confidentiality agreement, doing the deep dive work and from there making proposals to make investments. And the opportunity there is these junior stocks are trading at such low valuations that when you do find something where these story is true, the opportunity of making a lot of money is very real. So we're quite excited about the group. Longer-term we're thinking we'd like to wrap either a fund around it or some type of a fund or co-investing structure where we can bring on some partners that can cover some of the fees and the costs of running this group. But we think we've built, a dream team as far as being able to take any junior mining company, break it down into its components, and really determine what the opportunity is and a strategy for that moving forward.
Unidentified Analyst: Okay. And regarding the capital investment, how much has Dundee invested in that strategy on those companies?
Jonathan Goodman: We haven't invested a lot right now. We've done a bunch of little small deals, less than $10 million, and most of those deals have been financed by the sales about the resource, not most all of them have been financed by sales of other resource holding. So, I think that, we're very excited moving forward and we're working on the business of how do we do use this to bring in a bunch of revenues.
Unidentified Analyst: And the overhead related to that operations, is it breaking even with the fees that’s being charged?
Bob Sellars: It's not breaking even yet, but then – but it's very close.
Unidentified Analyst: Alright. Okay. Then, next question would be, what's the expected or estimated G&A for 2020, or maybe 2021. You said right now it is $14 million for this year. What's your expectation?
Bob Sellars: Well, I guess my expectation is to be lower. I'm not going to maybe not going to step out and make a predictive absolute number. But, if you look at our trend on how much we've cut G&A across the board at the head office level, at all subsidiary levels. I can expect that trend to continue. It's not going to be half of what it is run rate now because we've taken a lot of the stuff out, but we're going to continue to cut.
Unidentified Analyst: All right. And then the employee share purchase plan, if that, are those shares bought on the market or are they issued like new shares, are they diluted.
Jonathan Goodman: Historically, the firm has always gone into the market to buy them as opposed to issuing them from the treasury. And we're going to continue to do that. That's not when you take the absolute dollar amount going into it, because we got so few employees, even if everybody was into the max, it's not that big a number to buy into the market.
Unidentified Analyst: But and then finally, just on the preferred, you said, you will be allowed a 5% of the outstanding preferreds or 10%.
Jonathan Goodman: No, the rule is 5%. Number of shares currently issued and outstanding or 10% of the public float and at 10% of the public float is a bigger number because we don't have many insiders holding it. So we're effectively eligible to buy 10% of the public float over a year.
Unidentified Analyst: Right. So if you work to do that, you could potentially deploy around $14 million or something. Right.
Jonathan Goodman: I'll say 5.2 million shares at $13 and then 10% of that. So
Unidentified Analyst: Yes. Alright. Thanks for taking the questions.
Jonathan Goodman: No worries. Thanks.
Bob Sellars: Thank you.
Operator: There are no further questions at this time. I turn the call back over to the presenters.
Jonathan Goodman: Thank you.
Bob Sellars: Thank you.
John Vincic: Thanks again to everyone for joining today's call. I hope everyone has a wonderful day. Thank you.
Operator: This concludes today's conference call. You may now disconnect.